Operator: Good day, and thank you for standing by. Welcome to the Innospec Second Quarter 2024 Earnings Release Conference Call and Webcast. [Operator Instructions] Please note that today's conference is being recorded. I would now like to turn the conference over to your speaker, Mr. David Jones, General Counsel and Chief Compliance Officer. Please go ahead.
David Jones: Thank you. Welcome to Innospec's second quarter earnings call. The earnings release for the quarter and this presentation are posted on the company's website. During this call, we will make forward-looking statements, which are predictions and projections about -- these statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by such forward-looking statements. The risks and uncertainties are detailed in Innospec's 10-K, 10-Qs and other filings with the SEC. Please see the SEC site and Innospec side for these and related documents. In today's presentation, we have also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure is in the earnings release. The non-GAAP financial measures should not be considered as a substitute for those prepared in accordance with GAAP. They are included as additional items to aid investor understanding of the company's performance in addition to the impact of these items and events had on financial results. With me today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I'll turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome, everyone, to Innospec's Second Quarter 2024 Conference Call. This was a mixed quarter for Innospec as Performance Chemicals and Fuel Specialties delivered strong double-digit operating income growth and margin improvement, while oilfield services production results declined as expected. Performance Chemicals delivered further improvement as operating income more than doubled over last year. While customers remain disciplined in their order patterns, volumes improved in our key end markets driven by our mild and natural personal care technologies. We remain optimistic that we can maintain this improvement in the second half of 2024. Supported by our strong innovation pipeline, our target remains to return operating income rates and margins to full year 2022 levels. In addition, the integration and performance of our recent QGP acquisition is proceeding to plan. Fuel Specialties delivered double-digit operating income growth driven by higher sales and gross margins, which were at the upper end of our targeted 32% to 35% range. Leveraging our global footprint and innovation capabilities, our team continues to build a strong pipeline of future growth opportunities in both fuel and nonfuel applications. As expected, Oilfield Services results were impacted by significantly lower production chemical activity in the quarter. We are seeing a continuation of below average inventory levels combined with lower chemical usage and treatment rates in certain high-volume applications. As of the end of July, we have not seen this activity recover as we previously anticipated, and we currently assume these lower levels will persist through the third quarter and possibly through the remainder of the year. We are focusing on working with our customers to optimize levels of consumption and performance on these production chemical applications and expect to have more detail on the trajectory of recovery in the coming quarter. In addition, we continue to execute on multiple growth and margin improvement opportunities in our other Oilfield segments. Now I'll turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, Ian and I will take your questions. Ian?
Ian Cleminson: Thanks, Patrick. Turning to Slide 7 in the presentation. The company's total revenues for the second quarter were $439 million, a 9% decrease from $480.4 million a year ago. Overall gross margin decreased by 2.1 percentage points from last year to 29.2%. Adjusted EBITDA for the quarter was $54.1 million compared to $47.4 million last year, and net income for the quarter was $31.2 million compared to $28.9 million a year ago. Our GAAP earnings per share were $1.24, including special items, the net effect of which decreased our second quarter earnings by $0.15 per share. A year ago, we reported GAAP earnings per share of $1.16, which included the negative impact from special items of $0.12 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1.39 compared to $1.28 a year ago. Turning to Slide 8. Revenues in Performance Chemicals for the second quarter were $160.1 million, up 25% from last year's $127.8 million, growth attributable to the QGP acquisition of 7% and volume growth of 29% were offset by an adverse price mix of 11%, due mainly to lower raw material costs flowing through to selling prices. Gross margins of 22.6% increased 5.4 percentage points compared to the same quarter in 2023, benefiting from increased sales and production volumes. Operating income of $21.2 million increased 130% over last year. We expect to be able to maintain this level of operating profit in the second half of the year. Moving on to Slide 9. Revenues in Fuel Specialties for the second quarter were $166.6 million, up 8% from the $154.2 million reported a year ago. A 20% increase in volume was offset by an adverse price mix of 12%, with a favorable sales mix outweighed by lower pricing from the easing of raw material costs. Fuel Specialties gross margins of 34.6% were 5.5 percentage points above the same quarter last year. Operating income of $30.4 million was up 78% from $17.1 million a year ago. Adjusting for the $8 million loss in Brazil in the prior year, the comparable gross margins were 32.3% and operating income was $25.1 million. Moving on to Slide 10. Revenues in Oilfield Services for the quarter were $108.3 million, down 45% from $198.4 million in the second quarter last year. Gross margins of 30.6% decreased 11.5 percentage points from last year on a weaker sales mix. Operating income of $7.3 million decreased 74% from $28 million 1 year ago. Due to the reduced activity in our production chemical business, we expect our operating income in quarter 3 to continue at a run rate similar to this quarter. Turning to Slide 11. Corporate costs for the quarter were $17.6 million compared with $20.1 million a year ago. The effective tax rate for the quarter was 28.6% compared to 21% a year ago. For the full year, we now expect our tax rate to be 27% due to the change in the geography of our taxable profits. Moving on to Slide 12. For the quarter, operating cash flow was $4.7 million before capital expenditures of $15.2 million. As of June 30, Innospec had $240.2 million in cash and cash equivalents and no debt. And now I'll turn it back over to Patrick for some final comments.
Patrick Williams: Thanks, Ian. I am very pleased with the strong results of Performance Chemicals and Fuel Specialties, which drove overall double-digit operating income growth in the quarter. In Oilfield Services, despite the short-term outlook being clearly below our target range, we remain intensely committed to delivering solutions and innovation to our customers, which we believe will drive recovery in this business. With over $240 million in net cash on our balance sheet, we continue to pursue organic investments and complementary M&A while returning value to shareholders through dividend growth. Now I will turn the call over to the operator, and Ian and I will take your questions.
Operator: [Operator Instructions] The questions come from the line of David Silver from CL King & Associates.
David Silver: So I would like to just start out with the Oilfield Services and the decline on the production chemical side. I was wondering if you could maybe just kind of outline it. A little bit more detail. I mean is this a customer-specific problem? Is this tied to a particular region, 1 of your shale basin regions? Just maybe just a little bit of color on that, so that we can kind of assess what's going on there a little bit better?
Patrick Williams: Yes, sure, David. It's in our South America, Mexico region, so it's not in the U.S. and it's not in Saudi. It's a customer who has been using dilution on to bring inventory levels down. It's been a very political situation due to election years. And we feel like they have to be at the end of their inventory now. And at some point in time, we should start seeing some kind of orders, but we've been saying that for a quarter. So there's obviously politics involved. There's obviously dilution involved. We are heavily involved in what's going on in the process, but it's hard for us to put a handle on it, and that's why we say in the text that we'll keep everybody updated through the quarters. It's offshore and onshore. And the applications, we know we have the best technology. But right now, it's just caught up in politics, and we have to just sit down and see it play itself out.
David Silver: Okay. Very good. I would like to just switch over to the Fuel Specialties segment for a moment. So the gross margin, I guess, in that segment is at the highest level it's been at, I guess, in a pretty long time since the pandemic began, I guess and should we read the absolute level of gross margin and the pickup? Is this a sign that maybe your business mix, sales mix is getting back to your desired target levels? Or might there be something else going on? And maybe there's some further upside on the gross margin side.
Ian Cleminson: We're really pleased with the performance that the Fuel Specialties team have put together in the quarter. They've been focused on pricing. And as you know, in Fuel Specialties, pricing can have a little lag to it as raw material prices go up and down. And we've really worked hard with our customers to keep the tight control over that. And that's part of the reason why we're seeing good gross margins in this quarter. I think the other side of it is that we did have the benefit of a positive sales mix this quarter compared to the comparable quarter. But I do think we're in that range, we're towards the top end of the range that we normally quote. And our feeling is that as we go through the rest of the year, there's no reason why we should step outside that range and certainly step away from the top end of the range. So we feel pretty good about where we're at right now.
David Silver: Okay. And then just one, just 1 to follow up on Fuel Specialties, but in your -- in the press release, I think, Patrick, you highlighted within Fuel Specialties, fuel and nonfuel opportunities. I was wondering if you could just elaborate a little bit more on the nonfuel. Is this the stationary power opportunities? Or might there be something beyond that a little bit...
Patrick Williams: It's a little bit of everything, David. We have some products within that portfolio that treat applications that are outside of fuel. And so some of those applications are coming through this quarter, and we expect those to grow throughout the year. So as you're aware, a lot of the technologies we made based around surface active technology have other applications. And we just tapped into another market that's outside the fuel market.
Operator: The question come from the line of Jon Tanwanteng from CJS Securities.
Jon Tanwanteng: I was wondering if you could go a little bit more into detail with the Oilfield situation. What is the political issue at hand, number one? And number two, I recall that there is a technological change or switch over also that was involved. Could you elaborate on both of those, if you could, just so we could understand what really is driving this?
Patrick Williams: Yes, as much as we can. We obviously get some information, some limited information depending on who we're talking to. But it's election year. There -- they had numerous of our products sitting in inventory. They have not reordered since probably in the middle of first quarter. They've been diluting inventories and trying to at least three products that go into, a, the pipeline or downhole or offshore. We know they're critically low. We are just waiting and hoping to have some answers and some orders here in the near term. I don't see it until probably fourth quarter, but it's highly political, John. That's the problem. We only get as much information as they want to give us and we do know that the application is starving for product. We know that production is down. We know that there's been some safety issues. So we know that they're critically low and they need product. We know our product works. It's proven. It's been stated in the public. That's probably as much information as I can give you. I mean, -- as we stated, next quarter, we'll give you more color, but I just don't see how they can't start coming back with our technology in the situation that they're in right now.
Jon Tanwanteng: Got it. I guess the question I was trying to ask is a political question hand using your product or someone else's or reducing production versus whether or not you're actually in the customer at all?
Patrick Williams: I think it's neither. I think it's a political issue where there's politicians within fighting each other on how they want to run this business. And so therefore, they put critical -- put the whole business in a critical state. And I think what you're seeing right now is the build personnel are up in hands and it's got to be fixed at the top. It has nothing to do with that we're going to use Innospec or are we going to use the other 10 vendors that they have. It's an issue of when are they going to finally figure out how they're going to run the business and that's really the issue. And it's not just the business, it's general country politics as well.
Jon Tanwanteng: Understood. That's very helpful. Secondly, I was just wondering if you could just talk about the different buckets of demand in Performance Chemicals and what you're seeing just in terms of trends or strength and weaknesses between personal care and industrials, ag, some of the other stuff, the 1 creating. If you could give us some color on that, that would be helpful.
Patrick Williams: Yes. We've seen strong demand coming back in Personal Care as we expected. And that's -- that's why we've said that we see very similar quarters moving forward and trending upward. So we're very happy there. Agriculture, quite frankly, starting to come back and the industrial markets are pretty flat. But we're happy with that business. I think we're on a nice trajectory of return. And people are worried about are we running from inflation to an immediate recession? Is the freight train going to hit everybody all at once. We're not seeing that yet, John. We're still seeing a pretty strong quarter of order patterns in Q3 and even moving into Q4. So we're pretty confident in that business is pretty optimistic.
Jon Tanwanteng: Got it. And then just regarding the $240 million cash that you have, I mean, any more urgency in sense to put that to work, especially if rates are coming down, you're getting less interest income on.
Patrick Williams: Yes. I mean I think that a lot of these companies right now are looking at their assets and justification of assets. So we're still looking at a lot of M&A opportunities. We do have a lot of organic growth opportunities as well, which is, obviously, as I always say, you don't have to pay a multiple on organic growth. So that's on our radar, increasing the dividend 10%. We've been doing that consistently. And again, as you start looking at our share price, being opportunistic on buybacks. That's not off the radar. We have a strong business and as you know, we always come back fighting like hell and increase EPS and sales as we always do and we will do that. So if our share price is down, we're going to potentially be opportunistic in buybacks. So hasn't really changed on what we've been saying from day 1, I think that we're going to stay steady as we always have.
Operator: We will now end the question answer session. I'll now turn to Patrick for closing remarks.
Patrick Williams: Thank you all for joining us today, and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our third quarter 2024 results in November. Have a great day.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a great day. Bye, bye.